Andreas Rothe: Ladies and gentlemen, good morning from Mannheim. We welcome all of you to our conference call. The underlying presentation for this call has already been published this morning on our website. Today, we released the statement for the first half of the financial year '25/'26. We are going to present you the highlights of the period, revisit our full year group earnings guidance for the business year, which we adjusted on August 21. Following the presentation, we are going to answer your questions. As already mentioned, a recording of this call will be available on our homepage shortly after the call. Now let me hand over to our CFO, Dr. Stephan Meeder.
Stephan Meeder: Thank you, Matthias and Andreas, for the introductions. Ladies and gentlemen, also a warm welcome from my side, and thank you very much to all of you for your interest showing in Südzucker. As mentioned, I would like to give you a brief overview about the business performance in the first 6 months of fiscal '25/'26. And I would like to give you some more details about the confirmed earnings guidance for fiscal '25/'26. So let me start with the highlights of the past 6 months of the fiscal. You will find this on Page 5. But before going into the details upfront, let me say, more general remark on where we stand as of today. So you can see in the figures that there is a weak performance in Q2. Yes, it came in as expected, but it's clear, it's a weak performance. But on the other side, we confirm our full year financial guidance for the operating profit as of today, which stands at EUR 100 million to EUR 200 million. So when looking into the remainder of the year, we believe that from Q3 onwards, this should be the turning point to the positive, but the figures that I will continue to explain to you in the following for Q2 and H1 show a weak performance. So going into the details, you can see that Q2 was -- performance was not able to match prior year's numbers for Q2, and the same is true for H1 -- compared to H1, and after 6 months, we have reached the following numbers. You can see group revenues came in at roughly EUR 4.2 billion, which is significantly below prior year's level. Same is true for group EBITDA, which was significantly down by 55% to EUR 189 million and group operating profit also only reached EUR 42 million versus EUR 269 million in previous year's period. Same is true for cash flow, which decreased to EUR 67 million. And when it comes to net financial debt, so net financial debt as of 31st of August this year came in EUR 285 million below prior year's level and did remain stable compared to the end of fiscal '24/'25, which is end of Feb '25. So let me continue with the next pages. We have a look here on H1. So bringing H1 into historic context, you can see that especially for operating group results, this is a strong decline compared to previous year's periods. You can see that the decline is in revenues, EBITDA and operating result. Particularly affected in H1 are the segments of sugar, special products, CropEnergies, starch, but we do see an increase in the fruit segment. And that is something important to note. We do this in each and every quarter. We know we are active in volatile markets, but what is good about Südzucker Group that it is a strong and resilient portfolio, and we always have divisions who do also benefiting for the group with a strong performance. And overall, this year, this is the fruit segment, but we also see a good development in the divisions of BENEO and Freiberger. So on August 21, we changed our group guidance for the fiscal '25/'26. We now expect revenues to range between EUR 8.3 billion and EUR 8.7 billion for the full year, EBITDA between EUR 470 million and EUR 570 million and operating profit between EUR 100 million and EUR 200 million. So further details for the outlook, I will give on later. What we can see, if we move on to what we will see on Page 10 is there are persistently low sugar prices in the global market and challenging EU market environment with continuous impact into autumn 2025. And we also do see continuous volatility or volatility going forward, which you cannot exclude due to geopolitical and global economic conditions. You are all fully aware of that. So let's move on to Page 9. You can find -- it's a little bit difficult to read, but it's a little bit also a backup information for you. Here you can find the detailed results of the segments. And as already mentioned, after 6 months, group revenues came in -- [ operated ] levels. We do see revenues decline in the segments of sugar, special products, CropEnergies and starch, but revenues rose slightly in the fruit segment. And when it comes to the EBITDA, as already stated, there's a decrease as well as an operating result. This is largely driven by the sugar segment, but was also significantly below prior year's level in special products, CropEnergies and starch segment and positively to note the fruit segment showed an increase. So most important, which is for H1, really important to discuss in more details is the development in the sugar segment and to see the developments in the sugar segment, we have also always have to have a close look what happens on the global sugar market. So I start with the global sugar market on Page 10 because this has an impact on the European sugar market and the development of the European sugar market has an effect or [indiscernible] for the sugar segment development in Südzucker Group. So let's have a look on the sugar market as a total on the worldwide scale. You will find that, as I said, on Page 10. Let's have first a look what is positively on the world market. You can see that the consumption is still growing. So on a worldwide scale, sugar market is still growing. You see this is the normal blue bars. You can see that consumption is going up. Dark blue is the production. And you can see that we have in '24/'25, a market with a deficit and deficit market and commodity markets are beneficiary to the prices. That is the situation we started. But in '25/'26 sugar marketing year and just as a reminder, sugar marketing year always starts 1st of October and it goes until end of September. So for sugar marketing year '25/'26 and '26/'27, it is expected to be that the market is in a surplus. That means production going over consumption. And in a commodity market, this is leading to a bearish sentiment on the prices. This is also if you have a look on the sugar market prices, we do not have this in this presentation, but you can find this in our investor slide deck on our homepage, they have all the detailed price developments. And you can see that recently, there is still a downward trend in market prices. And another factor also contributing to that compared then into euro is the weakness of the U.S. dollar, which is also a bearish factor. So going from the global sugar market or coming to the European sugar market. So as a mid-summary, we can state that from the world market, we do not have a support. The contrary is true. So there's a bearish sentiment for sugar on the world market, and this translates also to the situation in Europe. So here also the graph, you can see the dark blue is the production and the normal blue is the consumption. When it comes to consumption in Europe, you can see that there is a -- it depends whether you start looking into the figure '22/'23. If you take this, you can see that it is rather stable consumption in Europe. If we take also into consideration '21/'22 as a starting point, we can also come to the conclusion that European market is rather in a slightly downward trend. So going into the details for the recently started sugar marketing year '25/'26, so which started 1st of October '25, the EU Commission and also the analysts from market survey expect a significant decline in cultivation area for Europe, so less acres with sugar beets. So based on this production, including isoglucose is forecasted to decrease to 15.9 million tonnes. That's the graph or the bars on the right-hand side in the graph. And as a result, the EU is expected to have a balance in export/import volumes. The sugar price, let's have a look on the sugar prices, but it's not on the graph, but let me explain to you the development for the sugar prices. So the sugar prices, which have been published by the EU Commission, fell significantly down from EUR 619 per tonne at the start of the '24/'25 sugar marketing year in October '24 sharply. And since it has continued to fall, reaching EUR 550 per tonne at the start of the '25/'26 fiscal in March '25 and in July '25. So this is the latest available publication, EU sugar prices stood at EUR 534 per tonne. So one aspect that we always have to put into consideration when we discuss sugar prices in Europe is what is happening with Ukraine. As we stated in the last conference calls, one factor which heavily weighed on European sugar prices was the Ukraine imports over the last years and months. So at current stage, the EU Ukraine Association agreement foresees that the import -- allowed import or the duty-free allowed imports into the EU amount to 20,000 tonnes for this year, pro rata temporary. But the ongoing discussion is to increase those volumes to 100,000 tonnes as of 1st of January next year. So for sure, we stand with Ukraine, but we're heavily opposed to those additional duty-free imports given the fact that the European market is well supplied. So after having had this macro look on the world sugar market development, the European market development, how does this translate to the Südzucker Group sugar segment? You can see in the graph on the right-hand side that revenues significantly decreased. So in H1 '24/'25, we stood at EUR 2.1 billion in turnover. So this has decreased to EUR 1.4 billion. And when it comes to operating profit, it even turned to a loss situation. So in H1 '24/'25, we stood at an operating profit for the group for the Südzucker segment at EUR 72 million, and this has turned to a loss situation of EUR 89 million operating loss. Let's continue with the special products segment on Page 13. Here, you can see that after 6 months, revenue in the Specialty Products segment decreased moderately, which is mainly due to the disposal of the dressing and sauces business in the U.S. from division Freiberger, which was executed in Q2 '24/'25. So all in all, revenues declined moderately from EUR 1.14 billion to EUR 1.1 billion in H1 '25/'26. Coming to operating profit, we also do see a decrease, you can see from EUR 108 million to EUR 71 million. So the operating profit decreased significantly to EUR 71 million in the first half of this fiscal. And this development is mainly due to the rising production cost that we see in these divisions, which could not fully be passed on to customers. Going forward on Page 14, here you can see the development of CropEnergies segment, so the ethanol business. You can see also -- let me start with the key figures on the right-hand side, you can see that revenues were down from EUR 484 million in H1 '24/'25 to EUR 402 million in this H1 of the current fiscal. And operating profit also turned to the negative from EUR 17 million in H1 '24/'25 to a minus EUR 13 million operating loss in the CropEnergies segment in '25/'26. And the main reason for development in revenues is a decrease in production. So it's not linked to the market development. Ethanol market or the need or the development for biofuels is still pretty stable in the U.S. -- sorry, in the EU. The development of CropEnergies here and on the revenue side was linked to internal reasons. So the decrease is primarily due to significantly lower sales volumes, mainly resulted from both scheduled and also unscheduled maintenance work carried out due to technical issues. When it comes to the operating profit, so as I said, it turned to a negative and this was significant -- that was due to significantly lower prices in the first half. But we will see when we discuss the outlook further on. We always state that ethanol prices are volatile. There are good reasons given supply/demand in Europe, there are good reasons to -- that prices should increase. That's what we also stated in the quarterly calls we had in prior periods. And we did see this increase finally in the last 10 days, yes, or I would say, last week. So in the last days, ethanol prices have increased significantly in Europe. So this is a positive sign, and this also is reflected in our forecast, which I will discuss at the end of this presentation. So let's move on to the starch segment. This is on Page 15. You can see also on the right-hand side that after 6 months, revenues in the starch segment declined moderately from EUR 505 million to EUR 474 million in first 6 months of this fiscal. And this was due to the overall decline in prices and volumes. Operating result is significantly below previous year's levels. You can see that it turned downward from EUR 20 million in H1 last year to EUR 5 million this year. On the positive side, in this reporting period, we benefited from an insurance compensation related to the flood damage at the Austrian plant, Pischelsdorf, which we discussed also in recent quarterly calls with you. Let's move on to the fruit segment. And as I said, this is really positive to note with the Südzucker Group having a robust and resilient portfolio. You can see that the development in the fruit segment is positive compared to prior year's H1. We do see an increase in revenues from EUR 824 million last year to EUR 858 million this year. And the operating result also came in above prior years, reaching EUR 86 -- EUR 68 million. I always mix figure sometimes. So EUR 68 million, you can see in the middle of the right-hand side, EUR 68 million positive. So let's move on to the remainder of the income statement after having had this look on the segment development, operating profit. So in income statement, you can see that after 6 months below operating profit, the result from restructuring and special items amounted to a minus EUR 33 million versus a plus of EUR 13 million. This was largely attributable to the sugar segment in addition to the special products segment. When it comes to the result from companies consolidated at equity, this also amounted to minus EUR 8 million and is alongside the starch segment and the sugar segment. Looking into the financial result, you see a minus EUR 70 million, which is also higher than last year, where we had stood in the financial result at a minus EUR 51 million. So what are the reasons for that? There we have to look a different look on both the pure financial interest side and the other financial interest side, when it comes to the pure financial side, when it comes to the interest side, here, we can see that here is a minus EUR 53 million, and this is linked to higher interest expense, which is due to an average increase in interest rates. So for this reporting period, we have an average interest rate of 3.7% compared to a 3.4% in the prior year's period. Net financial debt on average in this period was roughly stable at EUR 1.9 billion, EUR 2 billion. And when it comes to the other financial results, this is mainly attributable to exchange rate losses, which are linked to the weak U.S. dollar and the weaker British pound. Moving on to the taxes. You can find that on Page 19. So taxes on income in H1 came in with a plus of EUR 9 million compared to a minus of EUR 74 million in the same period of last year. And this is based on earnings before taxes of minus EUR 69 million in the current year versus a EUR 235 million in the first 6 months of '24/'25 fiscal. So finally, we look into earnings per share, not a positive figure and clearly disappointing for us. Earnings per share at the end came in at a minus EUR 0.38 against a plus of EUR 0.61 in the prior year's period. Let's have a short look on cash flow, working capital investments. You can find that on the following pages. So I start with cash flow on Page 21. You can see in the graph or in the table that due to the decline in operating result, cash flow also decreased in the reporting period now to EUR 67 million compared to EUR 343 million in prior year's period. We do see a decrease in working capital, which is positive. On the investment side, CapEx side, investments into fixed assets reached EUR 219 million. So we are on track with reducing CapEx. And investment in financial assets and acquisitions are not meaningful in size. When it comes to the financing activities, so Südzucker had been very successful in refinancing our debt position. So here, you can see I have a particular look on the new EUR 700 million hybrid bond, which we issued successfully in May '25. So this is reflected also. You can see that in the cash flow statement. So we issued a new EUR 700 million hybrid bond via our Dutch subsidiary, Südzucker International Finance, to refinance the existing hybrid bond, which was also worth EUR 700 million, which was issued in summer 2025. And the increase and decrease in stakes held in subsidiaries and capital buyback are linked to this transaction. So we move on to the balance sheet, which you can find in the -- on Page 23. So when it comes to net financial debt, by end of August '25, net financial debt stands at EUR 1.674 billion. The cash inflow from operating activities of EUR 255 million includes, in particular, the cash flow of EUR 67 million and a strong decrease in working capital. And as I said, investments into CapEx amounted to EUR 219 million. So in total, the net financial debt is rather stable compared to the EUR 1.654 billion, where net financial debt stood at the end of last fiscal 29th of February -- 28th of February '25. Equity ratio is still solid. So we stand with an equity ratio of 45%. So this is a solid level. Let me now turn to the outlook, which you can find on Page 25, 26. So unfortunately, we had to revise downwards our operating profit guidance for the group on August '21. That was the MRR guidance that you have seen. So on August 21, we updated the group guidance for the full fiscal '25/'26, and we expect group revenues to come in between EUR 8.3 billion and EUR 8.7 billion. That's in the middle of the graph down and operating result to reach between EUR 100 million and EUR 200 million. This compares to our previous guidance of EUR 150 million to EUR 300 million. So it's a downward review of our forecast, which we had to do on August 21, but we do confirm this number as of today. So what has changed compared to our previous guidance before going into the details. So overall, it is unchanged now for the group, but we do see a decrease in the sugar segment. So sugar segment is updated. We have not changed the outlook for special products and starch. We do see right now a slightly better improvement in CropEnergies, and we do see a better development in fruit. So this is also linked to what I've already stated. So it's a robust portfolio, and we have different developments in the different segments. So coming to sugar. For the sugar segment, operating result is now seen in a range from minus EUR 850 million to minus EUR 250 million. Our previous forecast was between minus EUR 100 million to minus EUR 200 million. So there's an additional burden to be seen given the bearish sentiment on prices, which I just explained of EUR 50 million in sugar segment. special products segment unchanged. We currently expect the operating result to decline significantly due to the anticipated rise in costs, which I have already explained. For CropEnergies, the development is the following. So in the segment of CropEnergies, we expect significantly weaker revenues. This is due to lower average ethanol prices compared to the previous year as well as technical issues, as just explained, following the scheduled and unscheduled maintenance. At the same time, net raw material costs have gone down compared to previous year. And what is positively to note, ethanol prices in the European market, they have just recently started to rise again, which is positive. All in all, we expect the operating result for Crop Energy segment to be on the same level as last year. Already stated for starch segment, no change. And for the fruit segment, following an already very successful '24/'25 fiscal, where we now expect a slightly improved operating result compared to the previous year as moderately increased prices are helping to offset the impact of rising costs. So all in all, our group guidance is unchanged compared to the downward revision on August 21, and we do see group revenues in the range of operating profit between EUR 100 million and EUR 200 million. Looking at the other KPIs for our forecast, you'll find that on Page 26. So for group EBITDA, the range is expected to come in between EUR 470 million and EUR 570 million with the explanations completely true for, as I just stated, in operating profit. Depreciation is expected to be on previous year's level. CapEx is expected to remain below prior year's level. And when it comes to net financial debt, we do project net financial debt to remain rather stable compared to the end of last fiscal. So ladies and gentlemen, after this review of our H1 figures and the forecast. So as a summary before closing to and coming to the Q&A, I would like to comment that as expected, the challenging market environment in our core sugar segment has continued in the second quarter of this fiscal. Market prices started to improve, but not as much as anticipated. Our nonsugar business continued to be a stabilizing factor. But as a consequence, we had to revise downwards our operating profit forecast for this year in August '25, but we do confirm this outlook as just explained as of today. When it comes to financing, we are very proud that we have successfully issued this EUR 700 million bond in May, and now we successfully completed our refinancing activities. There is a EUR 500 million senior bond also successfully issued in January '25, and this covers the refinancing of the senior bond maturing end of November 2025. Together with the extended and increased to EUR 800 million syndicated loan, we have established a solid and reliable financing structure for the years ahead. And as I said, I'm very proud of Südzucker and the entire Südzucker finance team who achieved this refinancing over the last months. Also, what is new, but also already communicated for Südzucker Board since October 1, we have Theresa von Fugler on board. We are very happy to have her here with her expertise. And also here from my side and from the entire team, a very warm welcome to her, and we are very much looking forward with her to further work on the success of our Südzucker Group and a very warm welcome to Theresa. So thank you very much to all of you. So far, we are now happy to take your questions. And together with Andreas, I'm happy to give the answers that you might have to the figures. Thank you very much so far.
Operator: [Operator Instructions] The first question comes from the line of Karine Elias from Barclays.
Karine Elias: I just wanted to go back to your point on the guidance. So just trying to look at the implied guidance for the second half. Does it imply that the price for sugar or the contracted price for sugar would be probably the decline would be about EUR 100 -- more than about EUR 100 per tonne in the recent contracting. Any color there would be very useful, especially as we think about the start of 2027. And then just going back to your point, I think, on the net debt. Your leverage obviously has picked up. That's partially because of the lower EBITDA. What type of leverage are you comfortable staying in for how long, especially as you think about potential actions from rating actions?
Stephan Meeder: Thank you, Karine, for your questions. When it comes to sugar prices, it is -- I cannot disclose our individual prices. So sugar prices in our market is a competition-sensitive information. So I have -- what I can comment is available market data and just very broadly expectations. What we did say at the beginning of this fiscal when we put up our budget, we stated that when it comes to the sugar availability in Europe, we did foresee a decline. And this decline that we had foreseen was linked to the fact that we, on our side, decreased the acreage significantly by roughly 15%. And then if you look into EU market data, the overall trend for hectares for beets in this sugar marketing year was also decreased by roughly 11%. So given normal harvest, we would have seen a strong decline in beet availability and the sugar availability in Europe. And this was the base assumption for our assumption that sugar prices should rise. At the end of the day, they really -- they increased, but they did not increase to the extent that we have foreseen originally. And that was the reason why we had to revise downward also the development in the sugar segment. In a nutshell, yes, there is a price increase compared to last year, but not to the extent that we have foreseen because sugar availability and the harvesting conditions, they are much better than we have anticipated. When it comes to net financial debt, we are -- rating agencies have revised downwards our rating and what are the levels we feel comfortable. This is clearly if net financial debt over cash flow or EBITDA is below 3.5x. We are not yet there, but we work hard on that. And what we feel comfortable is 3.5x, and there's a clear commitment from the Board to investment-grade rating. And so we have put into place the measures to reduce costs. We go into all -- in each every cost position. We do all our best to decrease CapEx, but decreasing CapEx is not so easy because you have ongoing projects with contracts in place. But what we can do to cancel or postpone, we do. And all in all, we strive to come below 3.5x net debt over EBITDA. But it is not the case as of today, but this is our ambition level, yes, clearly.
Operator: The next question comes from the line of Hartmut Moers from MATELAN Research.
Hartmut Moers: I have a couple of questions and probably we could go through them one by one. So the first one would be on the sugar segment here. What we find basically in the second quarter is roughly the same level, a bit below the sales level of the first quarter. And I mean, you should have basically a similar price level, at least with regard to the predominant part of your business as your October contracts still lasted into the second quarter. But usually, you tend to have better volumes in the second quarter compared to the first. So one would have -- or one could have thought that your sales increase in the sugar segment in the second quarter compared to the first. So what was the reason here for, yes, being just south of that level? And you still had quite a number of special items in the sugar segment. How shall we look about that going forward? Meaning would that now something related to the shutdowns you had on the AGRANA side of the business? And is there coming more with regard to the cost optimization measures you're just taking? So how should we look about that going forward? So that's on the sugar segment.
Stephan Meeder: For the volumes and price development in sugar, I tend to rely more on H1 figures than on individual quarters because you can also have some shifts. So for me, the more reliable way to look at it is really H1 as a total. And we do see for the 6 months that there is both a decrease in volumes and a decrease in prices. So we do see that the environment for sugar, there is some volume decreases and also for prices.
Hartmut Moers: H1 versus H1 last year? Or...
Stephan Meeder: Yes, yes, yes. H1 -- to compare H1 to H1. So there, we have lower volumes and lower prices. And the lower volumes, they are across all markets. It's not one particular market or a specific region. So for us, it's an overall trend that we have reduced volumes.
Hartmut Moers: Okay. And going forward, for the coming year, you're staying roughly level in terms of volumes. Is that a fair assumption?
Stephan Meeder: Yes, that's a fair assumption. But we have to see -- we did see some reductions in sugar consumption, for example, in beverages, there's less sugar in beverages. And we also do see, for example, less chocolate sold. This is linked to the fact that cocoa is very expensive. So there is less chocolate sold and thus less sugar into chocolate. These are trends which can change. But for the time being, there's a slight decrease, and we have to monitor that closely.
Hartmut Moers: Okay. Second one would be on...
Stephan Meeder: On restructuring. So within the restructuring side, so this is, as I said, particularly linked to the sugar segment, and this is a follow-up cost of the restructuring we had, for example, with the closure of the 2 plants, Leopolsdorf and Hrušovany, for example.
Hartmut Moers: Okay. But is that finished now? Or shall we plan with further one-off items in the coming quarters?
Stephan Meeder: When it comes to those 2 plants, it's finished. But when it comes to special items coming forward, the issue of special items is that they are not really predictable. So we cannot exclude neither that it's the -- that you will stay that, but it's also possible that additional special items could come up in Q3, Q4. So we have to -- when you do the -- when we'll start to do the planning for the years to come, we have to do our goodwill impairment test and all of that, but this will be then in Q3, Q4. It's too early to say whether there can be additional one-off items, but I cannot exclude them.
Hartmut Moers: Yes. I mean -- but there's nothing scheduled so far. So in terms of cost optimization or something, there's nothing you have in your budgeting right now?
Stephan Meeder: There are some special items also from the first 6 months when it comes to restructuring, when it comes to personnel or severance payments that is possible. So what is executed on the table at the end of August, that means for the first 6 months, this is included. But for sure, there can come additional points can come up in the development of Q3, Q4, I. Cannot exclude, but it's too early to say.
Hartmut Moers: Okay. With regard to CropEnergies, all your technical issues and so on, this is finalized now. So my question would be with regard to capacity utilization. So obviously, you had a rather low capacity utilization in the first half of the year due to these issues. But are we now looking to a more normal level again? Or are there any reasons why your one or the other site might not work at full capacity in the second half of the year?
Stephan Meeder: There's nothing scheduled. And as I said, the market environment for biofuels as a total is positive. This is also the reason why prices have gone up significantly. There was a strong driving season, and there is -- on the months to come, there's nothing particular to see. So I would assume a high capacity utilization unless other technical issues would arise. But from the market perspective, there's good reasons to use fully the equipment we have.
Hartmut Moers: Perfect. And then I would like to come to your outlook, and I'm a bit lost here. So what you're saying compared to what you said on August 21, you have somewhat reduced or specified the range for your sugar segment, which is a bit weaker than what you expected still in August. And you have compensated this with a more positive outlook on the CropEnergies and the fruit side. But looking at the extent of the changes, I would -- I mean, you've upped fruit by one notch, which is maximum of 4%. On Crop, Europe, yes, also EUR 5 million, EUR 6 million, EUR 7 million, so to come to EUR 22 million. But if I took the midpoint of your new sugar guidance, which would be minus EUR 200 million, it would basically impossible for you under the indications that you have given to reach the midpoint of your group guidance, you would be somewhat below that. And that already would assume that, in particular, starch and special products would also materially improve in the second half of the year, and we would not look at run rates of the current Q2 level. So is what you're saying that we should rather look on your group guidance, not at the midpoint, but rather at the lower end of your guidance? Or how should we interpret this?
Stephan Meeder: Hartmut, as you said, nothing to be confused. It is exactly what you said. So we are -- we confirm the group guidance EUR 100 million to EUR 200 million, and we are slightly -- for the group guidance, we are slightly below midpoint, but close to midpoint, but rather we are not at the lower end, but we are close to midpoint, but slightly below midpoint.
Hartmut Moers: Okay. That's fair. Okay.
Stephan Meeder: And -- but not to an extent which would force us to update the guidance. You know the rules of MRR. So we are close to midpoint, slightly below.
Hartmut Moers: Okay. No, that's, let's say, feasible under the assumption that special products and starch would make a major jump from the Q2 level to the norm, then you arrive exactly what you're saying. But you can confirm that this is the assumption then?
Stephan Meeder: Yes.
Hartmut Moers: In starch and special products, Q3 and Q4 will be significantly better than Q2?
Stephan Meeder: As I stated at the beginning, so we do not give particular ranges or points for the segment. So our main focus is on group level. As I said, it's a robust portfolio. We have different developments in the different segments. And the other thing that is also true, I said, that we believe that Q3 should be the turning point to the better. And all of that, but your analysis is fully correct. We confirm group guidance EUR 100 million to EUR 200 million.
Hartmut Moers: Perfect. Last point would be on the cost optimization measures you mentioned earlier. Could you just give us an update on that? I mean you've already mentioned size, but could you be -- become a bit more precise on the time line? And also, I mean, you have said in the last call that the cost optimization is roughly split 50-50 between sugar and -- between Südzucker and AGRANA. Would you be prepared also to give a split between sugar and nonsugar divisions?
Stephan Meeder: This is unchanged. So this is still true what I said in recent conference calls. We have initiated a lot of cost-saving initiatives. We are here on track. And the different amounts that have already been communicated, we still stick to them. So in total, we strive for savings of EUR 200 million for the Südzucker Group, which are to materialize in the coming years. For this fiscal, it is still our target, and we are on track for EUR 80 million cost savings, which is half of half AGRANA and Südzucker. AGRANA has the program called NEXT LEVEL. And here, they strive up for savings up to EUR 80 million to EUR 100 million per year starting in '27, '28, so we started. At Südzucker, this program is called OPTIMUM, which drives for EUR 100 million savings in the sugar segment also coming into effect fully in the next 3 years. So we are on track, but it's not that all of the amounts are already visible this year. So this will build up. But in general, we are on track and there's nothing change to previous communications on our cost saving measures.
Hartmut Moers: Okay. But just to make that clear, the EUR 100 million coming from Südzucker are 100% sugar. There's nothing in the other divisions, in your other divisions?
Stephan Meeder: No. In total, we strive for EUR 200 million after 3, let's say, 3 years, and this is EUR 100 million for sugar and EUR 100 million for the others.
Operator: [Operator Instructions] We now have a question from the line of Oliver Schwarz from Warburg Research.
Oliver Schwarz: May I come back to CropEnergies first. I appreciate that you are flexible enough to notch up your outlook following the increase in ethanol prices. And you already have given some remarks regarding the reasons behind that. However, I guess, driving season should now be over. We still have the problem of U.S. imports into the European market and so on and so forth. So I'm wondering what you think how sustainable this increase is given the overall structural situation the European market is in. And that would lead me to my second question of your U.K. asset, Ensus. You stated that you are looking for full capacity utilization in the second half of this year. And I guess that very much includes Ensus then. So what's the status of this last remaining asset that the U.K. has? It seems like especially the U.K. market is under heavy pressure given that they have made trade deals with the U.S. that might be less favorable for the U.K. bioethanol industry and one of your competitors has already pulled the plug on his plant. So yours is the only remaining one. And I'm wondering what's the situation there? And lastly, could you give us an update on your future, let's say, value chain that you are currently trying to expand into chemicals, given that the chemical industry in Europe has a lot of structural problems at the moment and is shrinking. So your upcoming production once those assets currently under construction have started up. I guess your customer base must -- or your potential customer base must have shrunk and those who are still in the game, they currently have problems regarding their there -- when it comes to pushing their volumes in the market. So how welcome will your product be coming in addition to what's already available in the market? That would be my 3 questions on CropEnergies.
Stephan Meeder: For ethanol prices, so when you look into the fiscal, so we had ethanol prices between, let's say, roughly EUR 600 quite stable over the last -- since the start of this fiscal. So starting with EUR 700, our first forecast was to see EUR 700 and plus, but prices, in fact, decreased to roughly EUR 600 over -- since the beginning of this fiscal. And what we did see over the last -- it started in September, but materialized in October. Now the prices have jumped over EUR 800. If you now ask me whether I believe this is to continue, I just have to say you, I cannot give you a promise because we see, as we always state, ethanol prices are volatile. For sure, there is always the risk of major changes, be it on the tax side, be it on the import side, be it on bilateral agreements between countries. So it's really difficult to predict. But for the time being, we see EUR 800. If you look into the forward curve, there's still a backwardation. So the anticipation is that this EUR 800 is not to last. But there are good reasons also when I look into supply and demand, there is not too much volume in ARA, Antwerp, Rotterdam region. So I believe that prices should be supportive, but I cannot give you a guarantee. It is still volatile market. It's commodity market. It will depend on factors. But from the supply and demand side or especially from the demand side, there's robust demand for ethanol. But I guess for sure, there's no guarantee. We are very happy with the price increase to be seen how long and to which extent this will last, but we have taken this into our forecast to a certain extent with a better price assumptions that we have seen so far. When it comes to Ensus, when I said we strive for a full capacity utilization, there's a question mark still on Ensus. So the negotiations with the U.K. government on a support package are still ongoing. I cannot disclose any details. We are confident because we believe Ensus is really significant to U.K. industry, be it on the ethanol side, but also on the CO2 side and the co-product side. So it's an important player in the industrial landscape of Britain. So we hope that the discussions or the negotiations with the government would find a positive end, but I cannot disclose and it's not finally done, but you have seen that the competitor has stated to stop production. We are still in negotiations with the government. So there's a question mark on Ensus. Your third question was on bio-based chemicals. Here also -- it is true, your concern comes from the point that climate mitigation measures are under discussion. This started with the Trump administration putting into question climate change and focusing much more on fossil fuels. For sure, this is at present a trend or a downward trend for climate protection measures, but this does not lead us to change our strategy. We still believe we need green carbon hydrates. We have to get rid of fossil fuels, be it in the transport sector, be it in chemistry, and we continue with our project as foreseen. So start of operations is to come as foreseen, and we do have still positive discussions with potential customers. The product that we want to produce is [Foreign Language] which is a solvent, which is needed for many also very interesting products, be it solvents, be it paintings, be it coatings, be it [ nakeva ], fluid adhesives. It goes into nail polish, nail polisher and thane. So this is really interesting products and our customers, they also have very much interest in having this green product. So there's no change in our strategy. But we -- I confirm the overall framework for climate mitigation measures has changed, but I believe this to be not a continuous trend because I think we will all have to do our best to reduce our carbon footprint, and we will continue to do so.
Operator: The next question comes from the line of Setu Sharda from Barclays.
Setu Sharda: So my question is, what was the achieved average price in sugar marketing this year? And was it in line or lower versus last year? And what is your exposure to spot prices move over the course of the next 12 months?
Stephan Meeder: Setu, as I stated, I cannot disclose Südzucker sugar prices because we are in a commodity market. And for competition or reasons, I cannot disclose any precise numbers on sugar prices of Südzucker. As an overall trend, and you will find that in our investor slide deck you have to rely on available market data. And what you can see is both from the world market sugar prices, there is a downward trend since the beginning of the fiscal, and the same is true for European sugar prices. They have declined significantly. And based on the European sugar prices, you can make your calculations for Südzucker Group because typically, our prices very much rely on European sugar prices, but I cannot disclose individual Südzucker sugar prices.
Setu Sharda: Okay. And what is your exposure to spot prices, like how much you have contracted this year?
Stephan Meeder: Our exposure to spot prices is not meaningful insight because typically, we do 1-year contracts with customers. Those customers do foresee a certain flexibility in volumes. So we have a certain development. It also depends on some regions have more spot contracts than others. But all in all, spot contracts or spot volumes are not meaningful in size. We do have yearly contracts.
Setu Sharda: Okay. And one more thing, like can you give some color on what has changed in sugar production, your expectation versus Q1 stage? Like there was a mention that you expect better harvest.
Stephan Meeder: Yes. So when it comes to Europe, that's what you have seen on -- if we go back to -- on Page 11 for Europe, it is foreseen that production should come out in '25/'26 at 15.9 million tonnes compared to 17.0 million tonnes in last year. So there is a reduction in European -- there's a reduction in European sugar production. And what has changed is the extent of this decrease. I would have assumed or we have assumed when setting up our budget, we have assumed a stronger decrease and this stronger decrease was based on the fact that we knew from our side that we decreased significantly the acreage in our regions. And for overall Europe, the decrease in acreage was 11%. That was the number that was known, let's say, in March, April when we set up our budget. And that means given a normal harvesting conditions, so let's say, for example, based on the average of the last 5 years, this would have led to a significant decrease in beet and thus sugar production. What has changed and then what we also anticipated leading to reasons for lower sugar production was the diseases that we have seen last year. So one is called Stolbur, the other in SBR, Syndrome Basses Richesses. And what we also have included in our initial forecast was a very dry summer. That of course we called it at the time when we last discussed, we called it our 75-percentage scenario when setting up the budget in March, April, the projections for the weather conditions in summer indicated a very dry and hot summer. And this would have led to the fact that also the protection measures would not have been very effective or it was unclear to which extent those measures would have been effective. And this led us to our initial forecast with a much lower sugar production. At the end of the day, when this is now what has changed, July came out very wet and cold. That was beneficial to the beets. The same was true for August. Here, the weather conditions have shown sunny days and rainy days and cold nights, and this is the perfect mix for the beets. So what we do see today, and this is not what we have expected, we do see a very good harvesting conditions in Europe. So there's much more beet and solid beet and without diseases available for this sugar campaign, and this was not what we had anticipated in our initial budget. So it's positive for the farmers. But given it leads to a much better sugar availability in Europe, this has brought us a bearish sentiment on the prices. And this was the reason why at the end of the day, we had to decrease our forecast for the sugar segment.
Operator: We have a follow-up question from the line of Oliver Schwarz from Warburg Research.
Oliver Schwarz: Actually, it's more than one. I'm sorry about that, but hopefully, I can...
Stephan Meeder: We still have time, Oliver, no problem.
Oliver Schwarz: Quickly talk you through all of my questions. Sorry for that. Firstly, starch. You're talking about higher raw material costs, given grain prices have declined due to -- we didn't only have a strong harvest in sugar, but also all other crops seem to be affected. Positive volume development all over the place, and that obviously also puts pressure on grain prices. Still in starch, you're talking about higher raw material costs, which makes me wonder, is that still, let's say, a remnant of hedging in regard to raw material costs that will tail off over time? Or why is that?
Stephan Meeder: Yes. As I stated, so in H1, compared to H1 previous year, we do see higher raw material and energy costs in starch segment. So this is true for the corn prices. This is true for the wheat prices, and this is also true for the energy. It is true what you said that when you look at market quotations, grain prices have come down, but there's also always a question of hedging, what hedging positions do you have? This can have an impact. So I cannot disclose all the details, but hedging can have an impact. And also, it has an impact in the regions where you buy your grain or corn or whatever. So market is always the price in Rouen, France. And typically, you have plus and minuses in different regions. And so this can lead to the fact that even if raw market prices go down, you can have different prices depending on availability in certain regions or quality in certain regions. So this -- all in all, this led to the fact that for the starch segment, unfortunately, we do see compared to H1 last year, higher raw material costs in all the 3 segments. It's true for corn, it's true for wheat and it's true for energy.
Oliver Schwarz: Will that be true also for H2? Or is this trend to reverse in H2?
Stephan Meeder: I don't have that figure in mind. Sorry. We will have to see. I mean, we have the full year guidance, but I do not have on hand the different assumptions for those cost components for starch. I don't -- we can have a look, but I think here, I don't have that with me.
Oliver Schwarz: Yes, I get that. But if it's solely, let's say, a function of your hedging position, I guess you should have an insight on that. But we can do that at a later stage, no problem at all. Second question is on fruit. Obviously, the bright spot in your portfolio at the moment. When looking at the sales development and looking at the comments on volumes, it seems like more or less stable volumes. The sales are not greatly up, which indicates that prices are mostly unchanged as well. So this increase in profitability must have had something to do with lower costs. Is that a result of cost-cutting measures? So is that something that is company specific? Or is that lower raw material costs that might have to be passed on over time to customers?
Stephan Meeder: There's not one answer putting everything into -- or one silver bullet answering everything. So because we have to -- when we talk about fruit, there are 2 divisions. So one division is fruit preparation, the other one is fruit concentrates. And the developments in those divisions is not parallel. It's -- both of them are positive, show an increase in operating profit and in turnover, but the development within the cost positions is different. Your question, for sure, we do all to -- as entire Südzucker, we do all to reduce administration costs and so. So there's one aspect of that into that. But particularly for the fruit, we do have also increase in material costs. So this is still true. This is true for fruit preparation. So there is an upward trend for those fruit components that we buy. And the same is true for -- in the concentrates business, also the fruit concentrates, they show an increase in material prices. And -- but we have a good development on the pricing situation and on the other costs. So it's a mix of all, but it's not one explanation that fits for all of the divisions. But in general, material prices go up.
Oliver Schwarz: Okay. And perhaps can you -- I know it's perhaps a bit delayed now, but can you share about your key thoughts about, let's say, the exchange of your hybrid bond? Obviously, the new hybrid bond is a bit more expensive than the old one was when it comes to the coupon. You had costs regarding issuing the bond and also costs in regarding to buy the old hybrid bond back. So there needs to be an upside somewhere. And given that we are looking for interest rates to rather go down than go up, at least that's my takeaway from the market at the moment. It seems like the only caveat that is out there is that the new bond doesn't have this operating cash flow covenant that the old one had, which basically implies that you might not be that confident with future operating cash flow development so that some breach of that covenant might be or might have been in the cards in the foreseeable future. That would be my takeaway. But I guess you can easily talk me out of that assumption and give me a better reason for that exchange.
Stephan Meeder: Oliver, I wouldn't subscribe to that fully. For us, the main reason really was that the old hybrid was stated from 2005 and was at the time, one of the first ones, but now was also the last one. So it was my objective to really to modernize the entire financial situation of the balance sheet. That means I wanted to review and modernize together with my team, the entire financing. This is -- you have to put this into context of the entire refinancing. We did more than EUR 2 billion refinancing in the last months. So this was very successfully. We issued, as I said, the new EUR 500 million senior bond. We did modernize the revolving credit facility with our core banks, increasing that from EUR 600 million to EUR 800 million. We did -- we still have in place the -- with the -- sorry, -- the commercial paper, EUR 60 million is still in place. We have the senior bond. We have the hybrid bond. We put into place a factoring program. So we modernized everything. And part of this modernization was the hybrid, and I'm very happy to have this new EUR 700 million hybrid bond now on the balance sheet, which is fully in line with all the other hybrid bond structures, which we see. So it's part of a modernization of the entire balance sheet. And this really puts us in a good position going forward. The entire refinancing is done, and so this is positive.
Oliver Schwarz: I get that modernization sounds very positive. And -- but what is actually the advantage for Südzucker from the new hybrid bond versus the old one? What is in those terms, more modern than the old one was?
Stephan Meeder: The modernization of the hybrid bond now it's fully in line with all the other hybrid basis. So it has no more a cash flow trigger. It has -- so it's fully in line with the others. And for sure, this is an advantage not having the cash flow trigger.
Oliver Schwarz: Okay. So it is the cash flow trigger that is the advantage, not to have it?
Stephan Meeder: That's what you said. That's not what I said.
Oliver Schwarz: What did you...
Stephan Meeder: Okay. Let's leave it like that.
Oliver Schwarz: Okay. And lastly, and I promise that's my last question. Could you talk me through the bridge from the EBITDA to expected net debt level? Given the fact that after the first 6 months of the current fiscal year, we saw an increase in net debt by, give or take, EUR 20 million. You are aiming for a net debt level of EUR 1.630 billion, which is basically currently around EUR 40 million lower than the current level. Your guidance is out of EUR 100 million to EUR 200 million for the full year. So that gives you a EUR 50 million to EUR 150 million additional EBIT for the full year. Could you talk me through that, that stable -- the bridge from that increasing EBIT, especially in the second half of this year to the changes in net debt. Are we expected to see an increase, so some reversal of working capital in the second half of this year, especially as Südzucker tends to pay its sugar beet farmers for the harvest in the second half of this year?
Andreas Rothe: So this is Andreas speaking. Maybe I can comment on -- when it comes to the operating cash flow to start there, as you indicated, results are down, but we are also expecting a significant reduction, which already started in the first half, a significant reduction in our net working capital. You have also seen that within the first half year, the CapEx levels are lower than in previous years. That trend should continue also in the second half of the current fiscal year. And the combination of those things should come out in a way that our net financial debt position by the end of the year, we expect to be rather in the ballpark of what we had by the end of 2024, 2025. So the lower operating result should be compensated basically by the net working capital. And obviously, the dividends when it comes to what we paid on dividends this year, it's also a lower -- much lower number than in previous years.
Oliver Schwarz: Okay. Maybe I didn't make myself clear that much. Sorry for that. I was specifically asking for the developments in H2. You've got EUR 50 million, let's say, EBIT under your belt, give or take, for the first half year. Your guidance is out there for EUR 100 million to EUR 200 million. That gives you a residual number for the second half year of EUR 50 million to EUR 150 million in EBIT. Your -- currently, your net debt is up compared to the beginning of the fiscal year by EUR 40 million. But by the end of the fiscal year, we are looking for basically the same level as last year. And I was just wondering how does that compute given that you just said CapEx will be lower compared to last year and working capital releases might continue in the second half of this year. How does that compute with coming up with a net financial debt on the same level as last year?
Andreas Rothe: The continue -- so we expect a continuation of our working capital, let's say, improvement process that we indicated that we already started, and that should contribute or this is our expectation that this contributes to the offsetting the low operating results. And again, when it comes to CapEx, also in the second half of this year, it's -- the number is not as significant. Dividends are already paid. So when it comes to the balance of our net debt position, that is in line with what we see in the numbers.
Stephan Meeder: Yes. Maybe -- Oliver, we are running out of time. So maybe we can postpone it to a later moment. But what you can take is for the minutes, we do foresee that net financial debt at the end of this fiscal should be roughly in line with last year.
Oliver Schwarz: Yes. But isn't that very conservative? Shouldn't it be below [indiscernible]
Stephan Meeder: Yes, but I think we have to stop it. I mean we -- our assumption is at the end of the day, we strive for having net financial debt on the same level like last year.
Operator: Ladies and gentlemen, that was the last question. I would now like to turn the conference back over to Andreas Rothe for any closing remarks.
Andreas Rothe: Thank you very much, and thank you very much to all of you for your participation and your interest in Südzucker. Also, thank you very much for your questions. As Stephan already indicated, when it comes to additional questions that should come up in the aftermath of this call, we, as the Investor Relations department are always available via phone or e-mail at any time. And obviously, we are trying our best to come back to you as quick and fast as possible. Presentation of the Q3 figures will be held in the beginning of January 2026. And until then, I wish you all the best. Stay safe and take care, and talk to you soon.
Stephan Meeder: Thank you very much.